Operator: Greetings, and welcome to the MRI Interventions Incorporated Third Quarter 2013 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Oscar Thomas. Thank you, Mr. Thomas. You may begin.
Oscar Thomas: Before we begin with our prepared comments this afternoon, I want to point out that some statements we make during today’s call will be forward-looking statements. Forward-looking statements by their nature address matters that to different degrees are uncertain and involve risks and they are maybe based on the current beliefs of MRI Interventions management. Uncertainties and risks may cause our actual results and the timing of events to differ materially from those expressed or implied in forward-looking statements, we make today. Detailed information regarding the risks and uncertainties that could affect our actual results and the timing of events are described in the Risk Factor section of the Form 10-Q that we filed with the SEC on August 14, 2013. You can find our SEC filings in the Investors section of our website at mriinterventions.com. With that I will now turn the call over to Kim. Before we begin with our prepared comments this afternoon, I want to point out that some statements we make during today’s call will be forward-looking statements. Forward-looking statements by their nature address matters that to different degrees are uncertain and involve risks and they are maybe based on the current beliefs of MRI Interventions management. Uncertainties and risks may cause our actual results and the timing of events to differ materially from those expressed or implied in forward-looking statements, we make today. Detailed information regarding the risks and uncertainties that could affect our actual results and the timing of events are described in the Risk Factor section of the Form 10-Q that we filed with the SEC on August 14, 2013. You can find our SEC filings in the Investors section of our website at mriinterventions.com. With that I will now turn the call over to Kim.
Kimble Jenkins: Thanks, Oscar, and good afternoon, everyone. Thank you for joining us for our third quarter earnings call. On behalf of the management team and employees of MRI Interventions, we appreciate your interest in our company. And for those of you who are stockholders, thank you for your support. We’re honored to be working for you in building this great company. David Carlson, our CFO, will walk you through our third quarter numbers. But before he does that, let me comment that I’m again very pleased with our results for the quarter. We posted record revenues in our product sales with record revenues from both disposables and capital components. We expanded our ClearPoint installed base adding another four sites during the quarter and bringing our total to 29. Clinician awareness continue to build, patient awareness continue to build, we added additional talent to our sales and marketing infrastructure, our drug delivery activities continues to progress and importantly along with this activity we narrowed our operating loss, all-in-all another very strong quarter under our belt and now with that I will turn it over to David to review our third quarter numbers and then come back to you with some further comments. David?
David Carlson: Thanks, Kim. We are pleased to report the results for a very strong quarter. I’ll first cover the quarter and then we’ll talk about the year-to-date results. For the quarter, we recorded product revenues of $850,000 compared with $318,000 in Q3 of 2012, representing growth of 167%. Disposable product revenues grew to $470,000 in Q3 of 2015 from $287,000 in the third quarter of last year representing growth of 64%. We recognized $380,000 in product revenue in Q3 of this year, related to our capital products compared to $31,000 in Q3 of last year. Service revenues included development service revenues of $49,000 for Q3 of 2013 and $163,000 for Q3, 2012. These development services were performed on a contract basis for a third party and a decrease reflect the winding down of the development project we have been working on for them. For the first time, during the third quarter we recorded other service revenues related to installation services and service agreements totaling $28,000. In Q3 of 2012 included recognition of $650,000 in license fee revenues, these license fee revenues relates to amounts we received previously on their agreements with Boston Scientific, the revenue recognition periods for those fees ended in March 2013 and therefore all revenues related to the license fees we received in 2008, were recognized as of the end of the first quarter. Total revenues were $927,000 for Q3 of 2013 compared with $1.1 million in Q3 of 2012, a decrease simply resulting from the expiration of the revenue recognition period for the license fees, the company actually received in 2008. Gross margin on product revenues was 57% for the current quarter compared with 58% for the third quarter of 2012. R&D costs for the third quarter of 2013 were $725,000 compared to $574,000 for Q3 of 2012; the most significant contributor to the increase was sponsored research costs which were $79,000 in Q3 of 2013 and all such expenses were recorded in Q3 of last year. SG&A expenses for the quarter were $1.7 million compared to $1.4 million for Q3 of 2012. The increase resulted from investments we’ve made in our field sales organization. Our sales and marketing expenses were up by $410,000 over the third quarter of last year; this increase was partially offset by $157,000 decrease in share based compensation expense when compared to the prior year quarter. Net other expense was $1.2 million in Q3 of 2013 compared with net other expense of $1.7 million in Q3 of last year essentially all of the net other expense for both periods related to loss as recorded as a result of increases in the fair value of derivative liabilities associated with warrants was issued in equity financing. Our net loss for the quarter was $3.2 million or $0.05 per share, compared with the loss of $2.8 million or $0.06 per share in the same period last year. During the first nine months of 2013, we reported product revenues of $1.8 million compared with $831,000 for the first nine months of last year, an increase of 117%. Disposable product revenues grew about 71% from $713,000 during the first nine months of 2012 to $1.2 million for the same period of this year. During the first nine months of this year, we recorded $586,000 in product revenues related to our capital products compared to $118,000 during the same period last year. Service revenues were $296,000 for the first nine months of 2013 compared with $414,000 for the same period last year. The decrease relates to development services and reflects the winding down of the contract development project mentioned perviously. During the first nine months of 2012, we recognized $2 million in license fee revenues compared with $650,000 for the same period this year. As I mentioned earlier, these license fee revenues relates to amounts we received previously under our agreements with Boston Scientific. In the aggregate, the Company recorded total revenues of $2.8 million for the first nine months of 2013 compared to $3.2 million for the same period last year. The decrease again resulting from the expiration of the revenue recognition period for the license fees the Company received in 2008. Gross margin on product revenues was 51% for the first nine months of 2013, compared with 53% for the same period last year. R&D costs for the first nine months of the year were $2.2 million compared to $1.7 million for the same period last year. The primary drivers for the period-over-period increase related to sponsored research costs, which increased by $340,000 and higher software development expenses associated with ClearPoint product enhancements which were up by approximately $200,000. SG&A expenses were $5 million for the first nine months of 2013, compared to $4.6 million for the same period last year. The increase was related to higher sales and marketing expenses, which increased by approximately $880,000 and an increase in professional services of $183,000. These increases were partially offset by a decrease of $673,000 related to lower share based compensation expense. We’ve recorded net other income of $378,000 during the first nine months of 2013 compared with net other expense of $1.7 million for the same period last year. The [indiscernible] reflect another income of $1.3 million related to gain on the change in the fair value of derivative liabilities associated with warrants and other income of approximately $380,000 related to negotiated reductions and amounts payable to service providers. These gains were mostly offset by $1.4 million loss related to our March 2013 notes payable modification essentially all of the net other expense for the first nine months of 2012 related to a loss on the change in the fair value of derivative liabilities. Net interest expense for the first nine months of 2013 was $342,000 compared to $2.5 million for the same period in 2012, approximately $2 million of a period-to-period change relates to the write-off of debt discounts and diverse financing costs associated with convertible notes that converted into shares of our common stock upon becoming a public Company in February of last year. Our net loss for the first nine months of the year was $5.4 million or $0.09 per share, compared with a loss of $6.8 million or $0.18 per share for the same period last year. Moving over to the balance sheet, we ended the quarter with $5 million in cash, accounts receivable was up $342,000 over year-end due to our strong Q3 sales. We’ve experienced growth in inventory from year-end, increasing from $900,000 to $1.2 million at the end of September as we plan for increased levels of ClearPoint sales. Our accounts payable and accrued liability balances had decreased by $1.3 million from year-end. Our derivative liabilities which is a non-cash item, increased from $2.1 million at year-end to $4.1 million at the end of September. This increase rose primarily from warrants we issued in our January 2013 financing. With that, I will turn it back over to Kim.
Kimble L. Jenkins: Thanks, David. Look again we’re very pleased with the progress we’ve made in the third quarter. And I would like to take a few minutes to provide you, with some additional color and a few highlights. Let’s start with our ClearPoint footprint. We increased our number of ClearPoint sites adding four new hospitals to our installed base. The new sites include the Ronald Reagan UCLA Medical Center, the University of Virginia Medical Center, Cook Children’s Medical Center in Fort Worth, Texas, and University of Colorado Hospital. We ended the quarter with 29 installed sites. I’m also pleased to report that we are now in five of the top 10 neuro hospitals in the United States as ranked by U.S. News and World Report. We’re proud of this accomplishment, and we believe that speaks to have leaders of the neurosurgery community in the United States view our ClearPoint technology. Our library of clinical and technical outcomes data with ClearPoint continues to build clinical data was presented at the International Congress of Parkinson’s Disease and Movement Disorders, highlighting the benefit of DBS lead placement with ClearPoint in pediatric patients suffering from primary dystonia. Just last month, positive clinical and technical outcomes data, relating to ClearPoint assisted DBS lead placement was presented at the Annual Meeting of the Congress of Neurological Surgeons, patients treating with our ClearPoint systems that demonstrated significant improvements in our UPDRS source and BSM DRS [ph] source, accuracy of the system is reported at 0.6 millimeters in the radio air to put that into context it’s approximately inside the [indiscernible] and the procedures are going well with the vast majority of the cases being completed in the single path. Just to give you a little more color on neurosurgeon interest. We hosted a physician reception at the Congress of Neurological Surgeons Meeting in San Francisco last month. At the reception five neurosurgeons and two neurologists reported, on a positive clinical experience of using ClearPoint. The surgeons reported on using ClearPoint for DBS lead placement for Parkinson’s disease and dystonia, laser ablation for epilepsy and drug delivery for brain tumors. The two neurologists described their positive experiences with patients, so we have undergone ClearPoint procedures from the neurologists’ perspective. The reception was well attended and the positive report from the physicians were very well received, throughout this year one of our primary focuses has been to grow our sales and clinical support team we cannot stand with 14 people. Mr. Robert Korn, our VP of Sales who joined us from Medtronic back in November of last year is continuing to do a great job in attracting terrific talent, to build out our team. And I won’t believe I have mentioned Dr. Tim Goebel [ph] to you before. Dr. Gobel, the Ph.D. who holds a degree in cognition and neuroscience, and he is doing a wonderful job leading our clinical support team in the field, a quick comment on our drug delivery effort. The five clinical trials in which ClearPoint is involved continue to move forward during this quarter. In our last earnings call, we mentioned here that we had won an from the NIH, relating to our ClearTrace cardiac program. We’re pleased to announce today, a new research collaboration with the University of Bordeaux in France related to our ClearTrace program. Bordeaux is a well established, international recognized top leader in the field of catheter-based cardiac ET to treat complex cardiac arrhythmias. This new relationship broaden the sales of our preclinical activities and it builds our groundbreaking work with Dr. Nassir Marrouche and his team at the University of Utah over the last few years. As you will recall, on our last earnings call, we provided financial guidance for the first time. I’m pleased on this call to update our guidance for the full year increasing both the lower and upper ends of the range of total product revenues, we expect for calendar 2013. The Company now anticipates total product revenues for 2013 of $2.5 million to $2.8 million, which would equate the total annual revenues for 2013 of $3.5 million to $3.8 million. During the second quarter call, our last call, an investor raised the question about liquidity. So I’d like to go ahead and address that question again now. As you’ve heard in David’s remarks, we ended the quarter with $5 million in cash, and importantly we narrowed our operating loss in Q3 versus Q2 of this year. We have previously stated that if we need additional funds to get our ClearPoint neuro business to break-even, our plan would be to obtain the funding through debt, and not so equity as we do not want the additional dilution at the current stock price, reiterate that position again on this call. In our last earnings call, we closed with the few public statements from neurosurgeons who are using ClearPoint. Today I’d like to conclude our prepared remarks in a somewhat unusual fashion. But I hope it serves to highlight something is very important to you as investors and we as management are accomplishing. We are helping transform people lives, and I couldn’t speak of any better way to convey this to you in a short audio and video clip of two ClearPoint patients, Martin and Celeste. Our length of the clip can be found in today’s press release and you can view the short video any time at your leisure. However, I would like to go ahead and play the audio portion of the clip for you now, and Stacy can you run that clip? [Advertisement] In our last earnings call, we mentioned here that we had won an from the NIH, relating to our ClearTrace cardiac program. We’re pleased to announce today, a new research collaboration with the University of Bordeaux in France related to our ClearTrace program. Bordeaux is a well established, international recognized top leader in the field of catheter-based cardiac ET to treat complex cardiac arrhythmias. This new relationship broaden the sales of our preclinical activities and it builds our groundbreaking work with Dr. Nassir Marrouche and his team at the University of Utah over the last few years. As you will recall, on our last earnings call, we provided financial guidance for the first time. I’m pleased on this call to update our guidance for the full year increasing both the lower and upper ends of the range of total product revenues, we expect for calendar 2013. The Company now anticipates total product revenues for 2013 of $2.5 million to $2.8 million, which would equate the total annual revenues for 2013 of $3.5 million to $3.8 million. During the second quarter call, our last call, an investor raised the question about liquidity. So I’d like to go ahead and address that question again now. As you’ve heard in David’s remarks, we ended the quarter with $5 million in cash, and importantly we narrowed our operating loss in Q3 versus Q2 of this year. We have previously stated that if we need additional funds to get our ClearPoint neuro business to break-even, our plan would be to obtain the funding through debt, and not so equity as we do not want the additional dilution at the current stock price, reiterate that position again on this call. In our last earnings call, we closed with the few public statements from neurosurgeons who are using ClearPoint. Today I’d like to conclude our prepared remarks in a somewhat unusual fashion. But I hope it serves to highlight something is very important to you as investors and we as management are accomplishing. We are helping transform people lives, and I couldn’t speak of any better way to convey this to you in a short audio and video clip of two ClearPoint patients, Martin and Celeste. Our length of the clip can be found in today’s press release and you can view the short video any time at your leisure. However, I would like to go ahead and play the audio portion of the clip for you now, and Stacy can you run that clip? [Advertisement]
Kimble L. Jenkins: All right, I’d invite you to please go to the link, so you can see the video as well; I think it’s quite compelling. Let me say, we’re proud of what we are accomplishing as a company on many fronts. But nothing is more gratifying to us than the impact we’re having on patients like Martin [indiscernible] and by the way the buzzy noise you’ve heard at the end of the last clip was left, the 53 year old Parkinson Station operating a chainsaw as she worked outside New York. So with that I will open the call to questions.
Greg Chodaczek – First Analysis Securities Corp.: Hi good afternoon, guys. Just a couple of quickies here, Kim, in terms of capital sales, you put up a nice number on the revenue line, can you talk about where those sales of new ClearPoint’s or where those ClearPoint were already in a hospital and they decide to purchase. So a little more color on that would be great?
Kimble L. Jenkins: Sure. Hey, Greg, thanks for the questions. David, go ahead.
David W. Carlson: Yeah, that represented the sales of three ClearPoint systems. One was to a new site and two of them were to sites that we had placed a system at previously.
Kimble L. Jenkins: Greg, we really like this ClearPoint advisement program continues to work well for us. As you know it gives us an opportunity to get the system into our hospital. If we don’t catch them at the right time in the budget cycle and then when it is the right time they buy the system. So I think that’s we saw that in this quarter and we hope to see more of that on both the new product sales, [indiscernible] as well as people coming off of the placement program.
Greg Chodaczek – First Analysis Securities Corp.: And I’m assuming every situation is different, but is there – can you come up with a timing on when after placement they turn around and say I like it, I’m going to purchase it now, is it based on months, is it based on how many procedures they do, any color would be great?
Kimble L. Jenkins: Greg, it’s probably too early to comment on that. We see a range of different sort of patterns at different hospitals, and it’s really I think too early to try to divine a pattern that we can apply across all the sites this year.
Greg Chodaczek – First Analysis Securities Corp.: Okay. And as of now there is or as of the end of the quarter, I should say 29 ClearPoint out there and I’m assuming at 29 different locations there is no double ups anywhere.
Kimble L. Jenkins: That’s right.
Greg Chodaczek – First Analysis Securities Corp.: Okay. And in terms of percentage of DBS versus focal ablation I’m assuming the majority is DBS if not all?
Kimble L. Jenkins: It’s the majority, that’s right, I don’t have the number on top of my head but it’s the large majority is DBS.
Greg Chodaczek – First Analysis Securities Corp.: Okay. And do you see that changing over time; do you think ablation grows as we – as you go further into this?
Kimble L. Jenkins: And so I got to tell you, and you’ve guys maybe heard us talk about this in prior calls, one of the really fun things about bringing the system into the market and putting it into the hands of this neurosurgeons is they are doing great things with this system, we developed it as a platform, and yes as we are our initial sort of center of the bulls eye was enabling DBS lead placement, what we’re seeing now, and as I mentioned, what we saw at CNS at our reception is surgeons having success with these other applications. We of course have envisioned those, but it’s great to see them actually playing out, I think the value proposition for the different patient populations is different and compelling DBS is in a sleep versus and awake procedure, you mentioned laser ablation, laser ablation for those patients that are appropriate and those epilepsy patients for example are appropriate this is a minimally invasive procedure versus a full open Craniotomy, so I think it will be interesting to see how it plays out over the coming quarters. What we’re really pleased to see is this broadening use of the system for treating different patients.
Greg Chodaczek – First Analysis Securities Corp.: And can I assume that hospitals are purchasing this initially for DBS and then moving into ablation?
Kimble L. Jenkins: Not always although I would say again similar to our usage, DBS is a primary driver but now we’ve got, we have experience already where hospitals have bought the system in for something other than DBS is the lead application.
Greg Chodaczek – First Analysis Securities Corp.: Okay and can you talk about the drug delivery platform, how far long these trials are remind us, where the trials are because I truly believe that this is the big cohune [ph] for you guys? So can you talk about those programs a little bit?
Kimble L. Jenkins: Sure, sure, well we are indeed really excited about the potential there and what we’re doing, I mean I guess it’s more than potential it’s what’s really being done, to remind you we’re in five trials three for brain tumors and two for Parkinson’s disease, the and I’ve just kind of go through them real quickly for you, I will start with the Parkinson’s disease trials one of them is AAB2 HADC [ph] that’s a Phase I study the initial side is G-CSF Genzyme which is a division of Sanofi is the Biotech company involved in the trial, the Michael J. Fox Foundation is supporting that trial. And that first patient will get treated, will start treating patients this year, second is the AAB2 GDNF also for Parkinson’s disease, this is being the lead site there, is a National Institute of Health, uniQure is the biotech company involved in the trial. First the patients have already been treated there. On the brain tumor front, the Toca 511 is being delivered into the brain tumors patients suffering from a Glioblastoma multiforme that’s Phase I multi-center trial. Tocagen is the biotech company involved in that trial. Tocagen is based in San Diego, great little company. Patients are being treated there. And the last two for brain tumors are IL-13, Pseudomonas exotoxin, which is being conducted. That’s Phase I being conducted at the National Institute of Health and the last one is a radio immunotherapy known as 124-I 889 that’s being done at more or so in catering, patients are being treated there in that trial and that’s focused on a brain tumor known as intrinsic pontine glioma which is just a terrible brain tumor that strikes a young kid.
Greg Chodaczek – First Analysis Securities Corp.: I am sorry what that kind of…
Kimble L. Jenkins: I will tell you we are like as we talked out before on these calls, we are really changing the paradigm here, we are enabling the real time delivery or the ability to absorb the delivery of the drug in real time into the neurological target whether that would be a brain tumor, the pertainment for a Parkinson’s patient for example and that’s it we believe that’s really a game changing capability. The business model we’ve got there is a simple one, that with we bring the delivery platform to the table the drug company brings the drug to the table with success we ride the coattails of the approval that drawn which gives us really sort of a I don’t know a biotech like upside with very little downside.
Greg Chodaczek – First Analysis Securities Corp.: And based on your knowledge of how far long these Phase 1s are when do you expect and I’ll just say Tocogen to put data out?
Kimble L. Jenkins: So that’s really in the hands of the drug company.
Greg Chodaczek – First Analysis Securities Corp.: Right.
Kimble L. Jenkins: To release that data, we are not since these are the guys that are funding these trials, these are guys that are it’s a better drug, they are in control of that data, so we’ve really we got to stay quiet and let them take the lead. So I just can’t speak to it.
Greg Chodaczek – First Analysis Securities Corp.: Okay, we’ll bother them and then last but not least 14 sales and clinician support or clinical support out there, what do you think that number is at the end of the year and what number should that be going forward?
Kimble L. Jenkins: So what we are doing, we’ve told Rob Korn to start to grow the sales force at an appropriate pace to fill out the maps across the United States, but he has done a great job in dropping folks in and I don’t think, I’ve got a hard number to give you, so we added several folks in this last quarter. We’ve sort of been on that path, the last stand for the quarters and I think we are going to continue to add people at a pace that we think is appropriate, one of the moderators Greg for adding people is really just dialing in the cost of the people versus the return we get. And so we can go faster, hire more folks it would cost us more money, we can go slower, it would cost us less money and so we are trying to deliver not then what we think is the appropriate pace. So I can tell you as we got a lot of demand for the systems, we are excited about that both from the clinician side of building from the patient side as well and we are we’ve been successful in attracting really just top tier sale talent to be a part of our team, which we’re excited about.
Greg Chodaczek – First Analysis Securities Corp.: And I apologize whoever is on the queue behind me. Just one last one, average selling price for consumables that steady going up, going down and what was it for Q3, if you can talk about it?
Kimble L. Jenkins: I’d say it’s been steady and David you want to…?
David W. Carlson: Yes, I think the last information we provided with an ASP of about $7,300 and that there is few different factors that we go into that whether a cases in lateral, case using in one SmartFrame kit or whether it’s a bilateral case using two SmartFrame kits. So overall our pricing with our customers has been pretty consistent from quarter-to-quarter. There maybe a little variation in the mix of bilateral versus unilateral patients. As Kim mentioned earlier, with the majority of our case is being DBS related at this point in time. It’s more often and not does are bilateral cases. So there really haven’t been any significant change from the last information we provided that $7,300…
Greg Chodaczek – First Analysis Securities Corp.: Okay and one quick follow-up on that. Can I assume a price of a consumable kit goes down, have you purchase the system?
Kimble L. Jenkins: Not necessarily…
Greg Chodaczek – First Analysis Securities Corp.: Okay.
Kimble L. Jenkins: It’s something that we visit with each one of our customers, but that’s not necessarily what happened.
David W. Carlson: Yeah, pricing is we’ve been pleased with where our pricing is held.
Greg Chodaczek – First Analysis Securities Corp.: Okay. Thank guys for listen all my questions.
Kimble L. Jenkins: All right. Thank you, Greg.
Operator: Thank you. Our next question comes from Raymond Pirrello with Pendulum Capital Markets. Please proceed.
Raymond Pirrello – Pendulum Capital Markets: Hey, Kim, again great quarter.
Kimble L. Jenkins: Hi, Ray, thanks.
Raymond Pirrello – Pendulum Capital Markets: How many cases perform this in the quarter?
Kimble L. Jenkins: We look at the – it varies Ray, because I don’t watch the number of cases. I watch the revenue and as David – we just mentioning, we got a split between bilateral cases and unilateral cases. We’ve got sometimes additional components are sold like for drug delivery case or no drug deliver case. Now you remember that last quarter, we launched our Keyhole kit. We like that products that have a little different price. So what we keep up with really as you want me to do is revenue and what David was our disposable revenue again for the quarter?
David W. Carlson: $470,000
Kimble L. Jenkins: Yeah, $470,000 which was up nicely over a Q2 of…
David W. Carlson: $404…
Kimble L. Jenkins: $404.
David W. Carlson: Yeah, one of the things also Ray is we do not have a representative at every one of these cases that takes place and so we don’t really have a corporate of knowing when each one of these procedures takes place. So it’s easier for us to report on the unit and they are real revenue.
Raymond Pirrello – Pendulum Capital Markets: So the reason for the question was it trying to get the next quarter, which is of the 29 location there, I’m sure that from private trend by and built from the earlier, how much revenue was coming from each location now? How many locations you guys believe, we need to get to become profitable?
Kimble L. Jenkins: So it’s currently not the similar from the finance, I gave to Greg a second ago. We’re still early in the rollout of this and we’re hesitant to talk about trends or make generalizations about sort of the way that, these different sites are performing, because they are just really still pretty wide range of activity, we got some sites that are cranking cases our we got others, that are not doing as many one of the biggest variables there is has been the people that we got to support those cases to work with them and in growing utilization. And so there are so many variables it’s really hard to pin down on average I think over its interesting in talking with some folks over the last quarter somebody mentioned this that its kind of a same-store sales revenue model, we’ll apply it to our company at some point I think that’s probably right its just at this point too early for us to say like this is how this all match out I think we’ll get that visibility in the coming quarters. I’ve mentioned for like for our sales guys, for sales and support team 70% I think about 70% of our sales and support team is new since the end of Q1, so just to give you a sense that how dynamic things are right now for us. You mentioned that number of sites that we need or the number of cases we need to get to break-even we just, we have given guidance as we mentioned in the call and that we put out in the press release or probably not comfortable going too far beyond that right now right.
Raymond Pirrello – Pendulum Capital Markets: [Indiscernible] that the last question the guy asked he asked about sales force how many people are currently in the sales force I don’t know if you answer that question?
Kimble L. Jenkins: We got 14 people in sales and clinical support.
David W. Carlson: Okay. So Paul thank you.
Raymond Pirrello – Pendulum Capital Markets: Thanks [indiscernible].
Operator: (Operator Instructions) Okay there are no further questions.
Kimble L. Jenkins: Yes. Thanks everybody, you know we really appreciate your support as we say on these calls always, I would invite you to go take a look at the videos, we can’t do this without your support, we can’t grow this company, we can’t reach these patients, without people believing in what we are doing, and they are behind us and I think you feel those successes with those patients are a collective successes with you guys being a big part of it. So thank you very much, thanks for your time, and I hope you have good week.
Operator: This concludes today’s teleconference you may disconnect your lines at this time and thank you for your participation.